Operator: Hello, and thank you for your patience, and welcome to the ironSource Limited Second Quarter Earnings Conference Call. My name is Emily, and I will be coordinating the call today. I would now like to hand the call over to our host, Daniel Amir, VP of Investor Relations at ironSource, to begin. Daniel, please go ahead.
Daniel Amir: Good morning, everyone, and welcome to ironSource's second quarter fiscal 2021 earnings conference call. My name is Daniel Amir, VP of Investor Relations. With me today, we have Tomer Bar-Zeev, Chief Executive Officer; Assaf Ben-Ami, Chief Financial Officer; Arnon Harish, President; and Omer Kaplan, Chief Revenue Officer. Before handing the call over to Tomer, let me remind you that this call is being recorded. A replay of this recording will be made available on our website shortly after the call. We have posted the earnings release and the accompanying slide presentation on our Investor Relations web page at investors.is.com. Elements of this presentation as well as statements we may make on this call are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, and these statements are based on current expectations and assumptions. Please consider the risk factors included in our public filings with the SEC that could cause our actual results to differ materially from these forward-looking statements. For more detailed information, please see disclaimers in the earnings materials relating to forward-looking statements that involve risks, uncertainties and assumptions. For a discussion of some of these risks, uncertainties and assumptions, please refer to ironSource's SEC reports. Other than as required by law, we assume no obligation and do not intend to update any such forward-looking statements. We also note that the financial information discussed on this call reflects estimates based on information available now and could differ materially from the amounts ultimately reported in ironSource's other SEC filings. During this webcast, unless otherwise specifically noted, all comparisons are year-over-year comparisons with the corresponding prior year period. For financial information that has been expressed on a non-GAAP basis, we've included reconciliations to the comparable GAAP information other than with respect to adjusted EBITDA guidance for which we have not provided a reconciliation because certain items that impact adjusted EBITDA are out of the company's control and/or cannot be reasonably predicted. And accordingly, a reconciliation is not available without unreasonable effort. Please refer to the tables and slide presentation accompanying today's earnings release for those reconciliations. The presentation of this financial information is not intended to be considered in isolation or as a substitute for or superior to the financial information prepared and presented in accordance with GAAP. We use these non-GAAP financial measures for financial and operational decision-making and as a means to evaluate period-to-period comparisons. We believe that these measures provide useful information about operating results, enhance the overall understanding of past financial performance and future prospects and allow for greater transparency with respect to key metrics used by management in its financial and operational decision-making. With that, I'd like to turn it over to Tomer.
Tomer Bar-Zeev: Thank you, Daniel. Hi, everyone, and thank you for joining us today for our Q2 earnings call, which is our first as a public company listed on the New York Stock Exchange. As some of you may know, we began this new chapter after successfully completing our business combination with Thoma Bravo Advantage on June 28 of this year, a partnership which we believe will be important to our growth as a public company moving forward. As part of the merger, we raised a total of $2.15 billion in cash profit, including an oversubscribed PIPE of $1.3 billion. With the money raised, we are well positioned to continue solidifying our market leadership as the most comprehensive business platform for the 2 core constituents of the App Economy. Without those platform, app developers focus on creating great apps and sell to operators and OEMs focus on offering competing user experiences. In the second quarter, we achieved record results with total revenues of $135 million, up 83% year-over-year. This was primarily driven by enhancements made to our platform and an increase in the use of our platform by both existing and new customers. For the second quarter, adjusted EBITDA was $46 million, up from $21 million in the same quarter last year, consistent with our long history of providing profitable revenue growth while benefiting from operating leverage. I'm also happy to report that our dollar-based net expansion rate for the quarter was a record 181%. We see the testament to the comprehensiveness of our platform and the value it provides to our customer businesses. Since this is our first call as a public company, before diving into the results, I would like to spend a few minutes providing an overview of ironSource, the platform we built and the market we operate in, the App Economy. If you think about your day-to-day life, chances are you spent a good amount of time on your phone. The average is over 4 hours per day. On average, 83% of that time is spent on app that provides entertainment, productivity and connectivity. In 2020, there were 6.7 billion mobile devices, and we downloaded 140 billion apps in those devices. Yes, what is open for grabbing is that every single app on your phone is someone's business. ironSource is a software company. Our platform is designed to serve the 2 core constituents of the App Economy, app developers and telecom operators, allowing them to grow and prosper. First, the app developer. While it has become easier than ever to create an app, it has also become harder than ever to commercialize an app. That's where our Sonic solution suite comes in. It is built to help developers launch, grow and sell their apps into successful businesses. The second core constituent is the telecom operator who provide the vehicle, which that content . Tapping into the App Economy can be a huge challenge for them, but also a huge opportunity. Telecom operators use our platform to connect with those customers and provide a better user experience throughout the device life cycle. So ironSource Sonic is our solution suite for app developers, and ironSource Aura is our solution suite for telecom operators and OEMs. Together, these solutions have one comprehensive platform that serves our customers at scale with a focus on creating the best total solution for the App Economy. To give a bit more color and also fun, it provides developers with a solution they need to grow their business from expanding valuable growth base cost effectively to monetizing their app and generating revenues from to analyze their business and optimizing it for profitable future growth. Put simply, our platform allows developers to focus on creating great apps and content where we provide the infrastructure for the business expansion. This approach is one of the key market differentiator as we are only focused on providing business solutions to our customers and not creating content. Within apps, games are the most popular category, and we built our market leadership within the gaming industry. Today, we power the business growth of thousands of apps, including that of many of the Tier 1 game developer. We also provide the support and the launch for indie game developers. Without this platform, indie game developers can top the charts and turn their games into worldwide hits in an incredibly crowded and competitive market. Our strategy has resulted, and that today, we powered the lion's share of the top 100 mobile games. And to give a bit more color on ironSource Aura. Aura enables telecom operators to enrich the device experience by creating new engagement touchpoints that deliver relevant content to their users. These touchpoints occur across the entire life cycle of a device. From the time a user first set up the new device until they credit in, Aura provides an on-device distribution channel for app developers as well as the platform to expand the adoption of content and services for telecom operators. At the core of our operational philosophy is a focus on creating a shared vision of success with our customers. As a result, our business model is primarily revenue share, which means that our growth is highly aligned with that of our customers. And the more our platform empowers them to grow their businesses, the more we grow ours. Now I'd like to share some business highlights from the recent quarter. This quarter saw the launch of several products designed to drive more efficient business growth for our customers across different solutions on our platform. In our Sonic monetization solution, we completed the shift to in-app bidding technology. This technology enables our customers to maximize the revenue by creating a realtime option, allowing different demand sources to be each available ad impression. This technology is designed to increase competition for ad space, raise efficiency and decrease customer opening, delivering real value for our customers. Our in-app bidding technology is already widely used by our customers and have shown significant impact, giving us a competitive advantage. In our Sonic creative management solutions, we announced the launch of Luna Elements as part of our recent acquisition of Luna Labs. We acquired Luna Labs in the first quarter of this year to add automation tools to our ad creative production and management to our platform. Luna Elements extends Luna's creative management offering. It allows game studios to build interactive, playable experiences in a matter of minutes without requiring any development experience for resources. Offering tools to automate and optimize interactive adds at speed and scale is an important addition to our platform, which further establish our advantage in the market of creative management. In our Sonic publishing solutions, we announced our LiveGames products. We launched Sonic publishing in February 2020. The goal was to provide indie developers who have limited access to capital or business know-how, with the infrastructure, technology and expertise to launch and scale their mobile games. LiveGames give developers self-serve access to game management tools with visibility and transparency in some multitude of in-game metrics. This enables them to better understand the performance of their apps and manage and grow their games independently. LiveGames is another important enhancement in our automated publishing solution and is important addition in the disruption we have led to fully productize the publishing process. And finally, we're excited that Bridge Race, a game that was published using our Sonic publishing solution, was the most downloaded game worldwide in Q2 with over 100 million installs. This success follows Join Clash, another game that we published using our Sonic publishing solution, which was the most downloaded mobile game worldwide in Q1. This achievement reflects the power of our platform and is also a testament to the amazing growth and the business opportunities available to developers, large and small, in the App Economy. Partnership form a core part of our G&A, and we continue to invest, grow and expand our partnership with key customers this quarter. We announced the extension of our growing partnership with Samsung with the integration of ironSource Aura solution for telecom operators and OEMs on Samsung device in Germany. This follows our existing integration with Samsung in Russia, India, Southeast Asia and other European countries. This partnership began with our first integration on Samsung devices in 2018. With the launch of new products and the expansion of our partnership,  platform continues to provide additional value to customers while helping to further differentiate our offering. Our goal is to continue building out our platform offering through our technological innovation and strategic M&A in order to increase the use of our platform by existing customers and gain market share with new consumers. We are also uniquely positioned to further expand to new categories beyond gaming and devices beyond model. This has been a great quarter, which is particularly gratifying since this is our first as a public company. We look forward to continuing on our journey to delivering the most comprehensive social platform for the App Economy. With that, I will turn the call over to Assaf to provide you with details on our financial performance and guidance for the quarter.
Assaf Ben-Ami: Thank you, Tomer. We delivered record results for the second quarter with strong top line growth and high profitability, consistent with our robust financial profile. Before sharing detailed results, I want to share a quick overview on our business model. Our business model is aligned with the success of our customers. This is a very important element of our strategy. When we think about new products and solutions, we always try to find the correlation between our success and that of our customers. Today, our revenue consists of three main drivers: revenue share, usage base and in-app monetization. A majority of our revenue is currently generated under the revenue share model where we retain a share of the revenue our customers generate using our platform. The reminder consist of usage base fee and in-app monetization revenue. Our ability to increase our revenue is highly aligned with our customers' success. As our customers see greater benefit from our platform, they increase their usage and adopt additional solutions that, in turn, further accelerate the growth. In many cases, customers adopt our solutions at an early stage of their business development and scale their usage as they grow. Our customers range from large global enterprises to small indie developer. As of the end of the second quarter, we had over 4,000 customers using our platform. As Tomer mentioned, Q2 2021 was a record quarter, both top line and bottom line. We generated $135 million in revenue compared to $74 million in Q2 2020, representing year-over-year growth of 83%. This growth was fueled primarily by the expansion of Sonic and our solution to it within our platform. Our revenue is driven mainly by our large customers. We define large as those who generate over $100,000 in the last trailing 12 months. This group grew to 309 customers in Q2 2021, up from 246 in Q2 2020, representing year-over-year growth of 26%. These numbers were achieved while maintaining a very high gross retention rate of 99% in Q2, consistent with Q1 2021. These large customers represent 94% of our total revenue in the trailing 12 months of Q2 2021. Due to the increasing usage of our solutions, we are able to cross-sell and up-sell a greater portion of our solutions to them as well as general growth in the number of new customers that contributed more than $100,000 of revenue. These large customers are a very important source of stability and predictability in our financial model. Our dollar-based net expansion rate for Q2 remains exceptionally high at 181% after achieving 176% in the first quarter at an average of 154% in the last 10 quarters. This increase was driven by new products and solutions launched over the course of 2020 that drove significant growth. Although we expect our dollar-based net expansion rate to remain very healthy, we anticipate that it will rise from quarter-to-quarter and ultimately normalize at our historical levels over the course of 2021. ironSource has been profitable for many years with prioritized growth and investment, but we believe in profitability and healthy margins. We generated adjusted EBITDA of $46 million in Q2 2021, representing year-over-year growth of 124% from our adjusted EBITDA of $21 million in Q2 2020. This growth was driven primarily by revenue growth across all of our solutions. Our non-GAAP diluted EPS for the quarter was $0.04 and our net cash position was $710 million. Before moving to our guidance, I wanted to spend a minute on IDFA. I also have invested extensive resources in preparing for Apple's changes, which require apps to ask users for permissions for tracking them across application. We believe our investment and preparation will help our platform and technology to adapt to Apple's changes. While we have not yet seen any material impact for Apple's changes, it is still too early to accurately determine the full impact. Our guidance takes into account some potential short-term uncertainties related to the change while still reflecting the ongoing success and momentum of the platform. In the long term, we believe that our technology gives us competitive advantage and position us to provide additional value to our customers in the context of this industry changes. Now let me turn to guidance. Our guidance takes into consideration the following factors: the strength of our H1 results, the momentum across our platform and the near-term potential impact of IDFA. For the third quarter of 2021, total revenue is expected to be in the range of $125 million to $130 million, representing 45% growth on a yearly basis at the midpoint. Adjusted EBITDA is expected to be in the range of $43 million to $45 million, representing 47% growth on a yearly basis at the midpoint. We expect our fully diluted share count to be approximately 1.1 billion shares. For full year 2021, total revenue is expected to be in the range of $510 million to $520 million compared to $480 million to $490 million previously, representing 55% growth at the midpoint. Adjusted EBITDA is expected to be in the range of $173 million to $178 million compared to $150 million to $155 million previously, representing 69% growth at the midpoint. We will now open the call to questions. Operator, please go ahead.
Operator:  Our first question comes from Colin Sebastian from Robert Baird. Colin, your line is now open.
Colin Sebastian: Congratulations on the merger, the IPO and the nice quarter. First off, Tomer, you talked about expanding the platform outside of gaming and onto devices beyond mobile. So maybe from a high level, if you could expand a bit on those opportunities and the go-to-market strategy. And then secondly, maybe for Assaf. With respect to IDFA, you mentioned the competitive advantages that ironSource has in this environment. Could you maybe go through that in more detail as both Apple and Google are making privacy a de facto standard now?
Tomer Bar-Zeev: Colin, this is Tomer. Nice to talk to you again. So look, we built ironSource platform is a platform for the App Economy. We've always stated that, and this is why we build it in a way that it, by definition, provides a service and a solution for the two main constituents of the App Economy, app developers and telecom operators. It is true that we see in our Sonic solutions suite, we're best known for solutions for game developers. But already today, even in the Sonic solutions suite, around 10% or so of our revenues come from non-game developers. And the vast majority of what we do in Aura today is for non-game developers. And we expect that to grow both in Sonic and in Aura. And we remain very focused on continue building the platform, so the App Economy across all the different constituents, across all different type of developers and telecom operators. Yes, of course, we will grow -- also in Aura, we will grow beyond mobile devices. Already today, we have a solution for smart TVs. And we have new developments, which we'll be happy to present to you in the next quarters. What was -- Colin, if you can please remind us what was the second question.
Colin Sebastian: Yes. With respect to the IDFA impact, I think Assaf mentioned the competitive advantage, the ironSource has in this environment. So just given that Apple and Google are moving in this direction with privacy across both operating systems, what about the ironSource platform makes you competitively advantaged in that environment?
Tomer Bar-Zeev: Sure. Look, so I think a lot have been said about IDFA in the last few months. And with a few months already into the rollout of IDFA, I think we have a much better view of the current impact and also, I think, a fair estimate on how it will look going forward. And I would say that when we last talked, we said that the ironSource platform is probably best geared to cope with the IDFA changes, among other reasons, because it was originally built to provide contextual -- to analyze contextual data. So by definition, the platform was built with a lot of -- taking into account a lot of privacy issues. So we thought that we would potentially be one of the beneficence of the IDFA changes. That's not to say that we still might see some short-term effect from IDFA in the very short term, but we remain very positive about our estimation that long-term IDFA is a net-net benefit for ironSource because of the way we deal with contextual data and the way the platform has built from the get-go.
Operator: Our next question comes from Bernie McTernan from Needham & Co. Bernie, your line is now open.
Bernie McTernan: Great. Just wanted to drill down on margins a little bit. I know investments in publishing had been weighing on margins and then seeing the increase of the guide. So are you spending less investment necessary on publishing going forward? Are revenues just coming in better? Just trying to think through the substantial increase to EBITDA margins guide this year versus the prior guide. And then is the 33% to 35%, the right way to think about a baseline going forward to grow on top of if we're thinking about '22 and beyond. And I have a follow-up as well.
Assaf Ben-Ami: Thank you, Bernie. So I think that, first of all, our EBITDA margins gain better than we expected at the beginning, first of all, because of beating our revenue guidance. In general, it's very important to understand that we prioritize growth and investment, but we believe in profitability and healthy margins. From time to time, we will make investments at the expense of the margins in order to strengthen our position in the market and drive growth. In 2020, we did exactly this by lowering our margins from 41% in 2019 to 31% in 2020. For '21, as you mentioned, we expected our EBITDA margins to be around 34% at midpoint. Over the long run, we anticipate to reach 40% plus EBITDA margins. To summarize, we're not trying to maximize EBITDA at this point, and we prioritize growth. But still, our G&A from day one was to be a profitable company with healthy margins.
Bernie McTernan: Understood. Just wanted to see -- I didn't see a breakout between Sonic versus Aura in the quarter. Just wondering if you could comment on the performance of each.
Tomer Bar-Zeev: Yes. Bernie, this is Tomer. So Arnon, you can, of course, say a few words about Aura if you want. So both Sonic and Aura have been growing very fast. Aura, the breakdown is -- Aura is around 12%, 13% of the total revenues. Aura has been growing at around 90% year-over-year and Sonic at around 81%. Arnon, do you want to say a few words about Aura?
Arnon Harish: Sure. I'm one of the founders, and I lead the Aura part of our platform. Yes, like Tomer said, the growth has been 90%, 91%. Again, the growth in Aura is really only capped by how fast telcos can adopt our various solutions. As you know, telcos move a bit slower than developers. And we foresee significant growth for Aura in the coming quarters. It's important to note that Aura is a really unique value proposition for telcos. So I think we're the only platform that provides an end-to-end solution for telcos to engage with their users throughout the life cycle of the device, again, from the moment the user opens that device until the moment that user is ready to trade that device in. So we're really helping telcos promote content, promote services and really participate effectively in the App Economy. And another value from our solution for telcos is that we're really helping them also with digital transformation. We're really helping telcos do more outside of the store and the on device, whether it's trade-in or device protection and other services that we provide them. And of course, there is more in development that we will expose in future quarters. Thank you.
Operator: Our next question comes from Bhavan Suri from William Blair. Your line is now open.
Dylan Becker: This is Dylan on for Bhavan. Congrats on an excellent quarter here. I guess, first, I wanted to kind of touch on the data set around kind of the, I think, the maybe most recent number, kind of 2.5 billion monthly active users. And as we think about kind of maybe traction with apps and gaming, but also kind of outside of gaming, which is maybe historically not a market that's leverage kind of in-app advertising in the past. But as we think about kind of the momentum here, you mentioned 10% of revenues. What are kind of some of the key drivers of this opportunity? And Is there anything that could limit the value from a targeting perspective here as you look to drive further adoption across kind of both the gaming and non-gaming opportunity?
Tomer Bar-Zeev: Sure. So I'll start. And Omer, please add if needed. So again, Dylan, as I previously said, the platform is built for the App Economy. We've built a solution to serve both game developers and other type of app developers and telcos and other type of OEM providers. And I think what we've shown is that if you use the full range of solutions within our platform, the full solution suite, what you will see is a flywheel that will help you increase your business because we will help you with everything, starting from user acquisition to monetization, to analytics, creative management and on and on. These are all elements that every app developer out there needs. I think the case study was proven with game developers. And now we see other type of app developers, other type of verticals adopting some of the know-how, some of the techniques, some of what made game developers become so strong and that segment growing so fast. And we're adapting the platform to also understand the needs of other app developers. Already today, a substantial revenue number is being generated by these activities, and we expect them to grow. And we've taken all the know-how, all the knowledge, all the technology that we have initially built to serve those game developers. And now it's being extended to other verticals, and we see great initial results. And we plan to go very strongly after those verticals. And the initial reaction that we see from talking to our customers are very, very positive. So I'm very proud and I feel great with the current results. And I do very much look forward to expanding and growing those verticals within the total business that ironSource is creating in the App Economy. But Omer, if you want to add to that.
Omer Kaplan: Yes. Maybe just a quick note. My name is Omer, one of the founders and the CRO. Yes, so like Tomer said, our platform today without any -- before any additional changes already provide great value for web developers, just like for game developers, enabling them to turn their app into great businesses. So it's mainly -- the growth that we've seen, which is already like Tomer said, around 10% of our revenues in Sonic, it's mainly increasing. It's mainly around market education and sales, and you can provide very high value with the existing platform offering. And of course, we also plan to add additional offering in the future, but already it's a very, very exciting opportunity.
Dylan Becker: And then maybe just kind of dig in as well. Could you kind of give us a sense of what the typical kind of customer adoption path looks like seeing kind of strength in that enterprise customer kind of cohort, but giving a sense of kind of where the initial land is, kind of what's the path for expansion, clearly generating a lot of value for these app developers. But any kind of additional color you could give us on kind of what that broader adoption kind of path looks like across the platform.
Omer Kaplan: Sure. Tomer, shall I start?
Tomer Bar-Zeev: Sure, sure.
Omer Kaplan: Yes. So it really depends on the type of customer, right? In the game -- in the mobile games ecosystem, we have a very strong brand. So the majority of the game developers will come to us, right? They use our platform, whether independently or if they need our support. But they'll mainly come to us and we have companies that, of course, with marketing and brand awareness, but it less requires day to-day-sales activity. When it's very big enterprise customers, it will be a combination, mainly around onboarding. By the way, as a result of that, our customer growth teams are much bigger than our sales teams because of our strong positioning in the market. And the fact that we are a go-to platform for game developers, they need to work with us in order to maximize their potential. When you're looking at newer initiatives like EPS, which is one of our biggest growth trajectories right now, that's where we are using more active sales and market education. And again, the idea is like everything that we do is to -- our customers are starting to use our platform in one of the products. It can change to the specific needs of any one of them. And then also like you'll see in our data, they really grow and expand to using more and all of our products once they understand the power of the platform, right? Hence, the growth expansion rate and the numbers that we've discussed.
Operator: Our next question comes from Mike Ng from Goldman Sachs. Your line is now open.
Mike Ng: Great. Congratulations on the first quarter as a public company. I just have two. First, can you talk a little bit more about the strong dollar-based net expansion rate in the quarter? I know you mentioned some new products and solutions that helped drive that number. Are you seeing anything in terms of share gains because of IDFA or any improved win rates that are helping that number? And I have a good follow up.
Assaf Ben-Ami: Thank you, Mike. Tomer, I will start and maybe you can add, if needed. In the past two quarters, our dollar-based net expansion has been exceptionally high with 176% in Q1 and 181% in Q2. This increase was driven by new products and solutions launched over the course of 2020 that drove significant growth. We achieved 95% growth in revenue in the last 12 months. View to H1 of this year, in the past 8 quarters, we averaged to 149% within dollar-based net expansion. We expect our dollar-based net expansion to remain very healthy going forward, though it may derive from quarter-to-quarter. We expect it to normalize at our historical levels over the course of 2021. Our platform approach and of land and expand, together with our business model, which is aligned with our customers and a very high gross retention rates of 99% in Q2 also in Q1 this year, are the drivers for the strong dollar-based net expansion rates.
Mike Ng: And I was just wondering if you could talk a little bit about Sonic publishing. Obviously, Bridge Race and Join Clash, as you mentioned, are doing phenomenally well. Is there anything on the horizon in the Sonic publishing pipeline for the rest of the year that you're particularly excited about?
Tomer Bar-Zeev: Sure, Mike. Omer, I'll take this and please at again, if needed. So we launched Supersonic, our publishing solution within the Sonic solutions suite with the aim, with the strategy to really address the long tail of the category and be able to serve smaller or very small indie developers because we fundamentally thought that if you -- as a game developer, if you focus on creating great content on creating a great app, a great game, you can rely on our platform. And by doing so, you can actually win the charts. And again, Join Clash and a few other examples, Bridge Race and a few other examples are a clear testament of that narrative. But the Supersonic publishing solution, we see it as power -- as one solution we see in our platform. Again, we are focusing on providing a full platform for the developers. And they usually start working with us with 1 solution, and they expand as a subset. They land and expand with our platform. Hence, the very high net dollar-based expansion rate, which is a testament to that, right? They would start working with us with 1 solution, expand. And while they do so, they grow their business. And again, as a derivative of that, we grow ours. And we feel very, very strong with our platform going forward. We see the pipeline on both Supersonic. But mostly on the rest of the platform, we see how that will continue growing, again, evidently as you can see from the current results and our ability to increase guidance for the next quarter and the rest of the year.
Operator: Our next question comes from Brent Thill from Jefferies. Brent, Please go ahead.
Brent Thill: Maybe anything you could call out from an international perspective. Was there any particular customers that came into the platform that were interesting to note? Or was this pretty balanced from a geographic perspective in terms of where you saw the business flow?
Tomer Bar-Zeev: Sure. So putting aside for a second, Samsung, which we announced our strategic partnership with them in Europe. And I will let -- this is more related to Aura. I would let Arnon address that separately. Overall, our platform is really very global. In general, the nature of the App Economy is really global. You can be, again, a Tier 1 gaming company in the U.S., and we -- our platform will help you, will serve you. And we will also serve very small indie developers that can be in many, many places globally across the globe, and the platform will serve you. So it's by nature, it's by nature, very global. I would say that the majority of the revenues are still coming from the U.S., but the number of customers and the companies and the developers who we serve is pretty global. But with that, Arnon, if you want to say a few words about the strategic partnership with Samsung in Europe.
Arnon Harish: Sure, So yes, we have a strategic exclusive partnership with Samsung in Europe, again, on open-market devices and separating that from devices sold by telcos. We're the exclusive provider for on-device engagement and monetization. And this is the partnership that we're going to see growing and continuing hopefully in the years to come. We also have some very interesting Tier 1 telcos that we have partnered with in Europe. Hopefully, I can announce them in the next quarter or two, which will drive, again, significant growth for our European activity.
Brent Thill: And maybe if you could provide just a little more color about maybe what's been the most surprising thing to you from where you guys said that maybe we can't see through the numbers. Are there 1 or 2 higher-level themes or interesting customer behavior data points that you would point to that we can all see through the eyes of your financials?
Tomer Bar-Zeev: So I don't think we can point to any surprise. I think we -- the results, as you've seen them, are -- the Q2 results and our increase in guidance for Q3 and the rest of the years -- the rest of the year are following our already strong results in Q1 and following that as increasing guidance for Q2 and the rest of the year. So this pretty much goes naturally as we expected and as we see the business. I would say that one element that we're very conscious about is how to best anticipate and to be able to adjust the model for potential IDFA changes, which I think we and the rest of the industry initially thought that we would see some effects in Q1, which really didn't happen, and then in Q2, which really didn't happen. And still, we are conscious and we're keeping monitoring potential, again, short-term effects. And those are budgeted already in the guidance that we're giving for Q3 and the rest of the year. But I would say, very consistent with our views and our expectations going forward. So I would say, luckily, no surprises so far.
Operator: Our next question comes from Martin Yang from Oppenheimer & Co. Martin, please go ahead.
Martin Yang: First one, can you maybe highlight the particular new products that really contributed to the near-term momentum in the net expansion rate?
Tomer Bar-Zeev: So Martin, so as I said, it's not necessarily a one product or two products that were new that drove the increase in the net dollar-based expansion rate. It's pretty much across the platform. And that's the whole thing. That's the whole point of how -- why we win, why we gain market share and why we grow. All the products are really connected. Because when one of our customers would use one of our products, they would typically expand to other products because it's truly helping them become a better business. So I cannot point out to one product. But Omer, maybe you want to say a few words about the in-app bidding and us completing that and how that comes to play and how that will help us increase going forward.
Omer Kaplan: Yes, sure. So like Tomer said at the beginning, we've completed the shift into Sonic monetization solution into working almost completely through -- or the vast majority of our activities through in-app bidding, which gives our customers a lot of advantages both on the revenue that, that can generate. And as a result, our business model is revenue share. So of course -- and we are aligned with our partners. And also, on usability, right, on their ability to effectively manage all of their monetization and really automating anything that has been manual in the past. So whether it's additions like that, whether it's launching a new product in 2020, like our Sonic publishing product, whether it's the growth of our customers with us, right, the fact that it's a -- when we have a customer who are starting with us because of our strong flywheel, because of the fact that we improve monetization and then they grow with us, right, we enable them to accelerate their growth. And that's also a very important factor in our net dollar-based growth expansion rate. But all of these combined really embedded and got us into the numbers that you're seeing and the great success that we have with our customers.
Martin Yang: My next question is on Sonic publishing. I'm just very curious that if you have the ability to bring an indie game to the global top charts, wouldn't other more established developers want the same thing for us? Maybe not, moving their establishment to your publishing platform, but maybe one day build a new game and then they will choose to work with you instead of they publish the games themselves.
Omer Kaplan: Tomer, shall I start?
Tomer Bar-Zeev: Omer, please.
Omer Kaplan: Yes. So it's one of the core capabilities of our publishing product is the ability to predict based on a prototype, which means based on a game before it's completely ready to complete what is the business liability or what is the marketability potential of this prototype of this game to become a big business. And the way it works is that we have in -- primarily in the developers, right, submitting their prototypes in a completely automated way into our platform. And our platform in an automated way evaluate what is the business potential. And then once we identify that this prototype has the potential to become a very big game, then it moves into all of the growth part and the monetization part, and we maximize the scale. So in essence, it's really something that helps the overall democratization of this ecosystem. And really, the examples that we showed you or other games work with us, we are seeing cases of really small developer companies who are managing to create this huge game or these new successes because of that identification to this content, right? When you connect to our platform, you can reach such scale level. The difference between that and what an enterprise game company will use is the automation. Our publishing product is basically our -- all of our solutions in our platform, but automated, right? Because indie developers, in many cases, they need this automation because they elect the in-house expertise. So the big customers are already using us for that, but they usually manage it themselves because they have their teams who are doing it and their own systems that they connect to ours. So that's the main difference.
Martin Yang: Got it. The -- a follow-up on that, the predictability of the tool seems quite interesting. Is there any way to -- in the future to productize that and then make it available for the enterprise users, essentially for them to evaluate their own in-house for that and how successful they can be?
Omer Kaplan: Yes. So first of all, it's a very -- you're right, the value is very high. It is today mainly used for indie developers to evaluate the product, but also, like you said, to some extent, for bigger game customers to evaluate the potential of their games when they're building it in-house, yes. So it provides value for both.
Operator: And we only have time for one more question today. And so our final question comes from Bhavin Shah from Deutsche Bank. Please go ahead.
Bhavin Shah: Congrats on the strong performance in the quarter. Very impressive 181% net retention rates. Maybe can you just help us understand how much of that is driven by stronger engagement with your current customers' properties versus some of your customers adopting more solutions such as creative management, analytics and publishing?
Tomer Bar-Zeev: So most of the growth in ironSource are coming from existing customers that constantly add, as I said, the -- a typical customer will start engaging with ironSource's platform across one or two of our solutions and would expand to adding more solutions and eventually using the full power of the platform, which drive the very strong dollar-based retention rates. That and, of course, the very strong 99% gross retention is what's driving the very strong results. And as I said, the nature of the platform is really driven by this flywheel effect that when you start using multiple -- when you start using one product and then add additional products, eventually, it will help you increase the total usage of the platform, making your business better, growing your business. And again, this is how we also benefit from that because of our rev share model with our customers.
Bhavin Shah: And just a quick follow-up. On the Aura side of things, I know you talked about Samsung in Germany and India. How should we think about the time lines of those kind of flowing through the financial model?
Arnon Harish: Yes. This is Arnon. We announced specifically the partnership with Samsung in Germany. But again, we're working with Samsung exclusively across all of Europe, again, in open market. And it will -- again, I'm not sure I understand exactly what you mean regarding the contribution, but it's going to continue growing as we deploy new features and new parts of our solutions. And it will grow quarter-over-quarter, again, with Samsung and with additional telcos, Tier 1 telcos that we'll be announcing in Europe.
Operator: I would now like to hand back to Daniel for any closing comments.
Daniel Amir: Great. Thank you for all dialing in today. I want to thank everyone for joining the call. We look forward to connecting with you over the coming weeks, and hope everyone is continuing to stay safe and healthy during these times. Thank you.
Operator: Thank you, everyone, for joining us today. This now concludes today's conference call, and you may now all disconnect your lines.